Ian Metcalfe: Good morning. Welcome to the Nestlé Half Year Results Presentation for 2012. As usual, we will go through a few slides before opening it up for Q&A. We will take the Safe Harbor Statement as read. And without further delay, it's my pleasure to handle it over to our Chief Financial Officer, Wan Ling Martello.
Wan Ling Martello: Thank you, Ian. Good morning. We are doing this webcast live from the Swiss Stock Exchange in Zürich. A very warm welcome to those of you who are joining us here in person. And before I get started, a special good morning to Roddy, who you all know is our Head of IR. Roddy is recovering and will be back in top form sooner than later. I know, Roddy, you are watching, and if I'm not mistaken, this is the first call you're missing in 12 years. So Roddy, this one's for you. We have an 1.5 hours together this morning. I will take you through the highlights of our first half, followed by a more detailed look at the performance for the year so far. I will then spend some time talking about the key elements of our cash flow performance as well as some important changes we've made in the spirit of building on our transparency in this area. With that, let us go to our group highlights. During the first half of 2012, we saw continuing macro trends with regards to consumer sentiments in both the developed and emerging markets. North America remains challenging, as you all know, while the European trading environment has deteriorated, no surprise, especially in the southern countries. In contrast, the emerging markets have continued to show robust levels of growth, and this is the environment we are operating in. But what is more important, though, is how we have anticipated, how we have responded to that environment, driving performance that is aligned with our strategic priorities. You know those priorities well. They are reflected at the Nestlé Roadmap, which I gather you all have seen many times. I believe that the numbers we are going to discuss today demonstrate that we have indeed delivered once again, remaining true to our culture of combining shorter-term action with longer-term thinking. We have been fast moving and flexible, achieving strong performances relative to our markets in both emerging and developed countries. We've done this by embracing opportunities, making right choices, tough choices even, to deliver sustainable, profitable growth. We've continued to invest behind our innovations in our brands, we've been deepening and widening our distribution and we've been focused on flawless execution. And we have benefited from having a well-established global multi-tier strategy from value to premium, capturing growth across all consumer segments. And above all, we have benefited from having over 300,000 people aligned behind the Nestlé Roadmap driving our performance such that, regardless of the environment, we are able to reconfirm our full year guidance. Let's now take a look at our highlights of our performance. The group maintained the growth momentum, with an organic growth of 6.6% in the first half of 2012. This reflects a very good balance between real internal growth of 2.9% and pricing of 3.7%. The group's trading operating profit was CHF 6.6 billion, up from CHF 6.2 billion in the first half of 2011. The resulting margin of 15% is in line with our First Quarter Conference Call comment that our 2012 trading operating profit margin improvement will be weighted towards the second half. You also see here the group's operating cash flow of CHF 5.1 billion, that's up from CHF 2.1 billion in 2011. Now why is that? This is mainly due to improvements in operations as well as working capital that I will come back to later on in my presentation. Other elements of this chart, as you can see, I'd like to highlight our net profit, which is up 8.9% at CHF 5.1 billion, and the underlying EPS that rose 12.4% in constant currencies. Nestle continues to grow in all 3 regions. Our European performance reflects some tough comparison for the globally managed businesses where the Zone continues to perform at the same level as Q1. Americas has maintained the momentum which -- with increases in both RIG and organic growth in North America in Q2. We actually saw increases in both RIG and organic growth from Q1 to Q2, this despite the low consumer confidence there. Asia, Oceania and Africa continue to deliver double-digit growth. Overall, as you can see on this slide, the emerging markets continue to do very well and grew by almost 13%. The developed markets posted 2.6% organic growth, a good performance in view of the environment in Europe. Portugal, Italy, Greece and Spain had a slightly negative organic growth overall. And last but not least, our Billionaire Brands grew over 8%, which is above the group average. Here you can see the overview of our Zones and globally managed businesses. I'd like now to take you through the highlights of each of this individually, starting with Zone Americas, Zone AMS, where we had a 5.7% organic growth and a RIG that is flattish at around negative 0.1%. While the North American trading environment remains challenging, like I said before, we actually saw a slight improvement in growth over the first quarter. The frozen aisle is continuing the trend we have seen. We recognize that, as the market leader in this category, we are at the forefront of returning value to the category be it through new product offerings or the approach we take in communicating to consumers. This is relevant whether we're talking about technologies like flash-freezing that preserve the freshness behind our frozen brands, or successful new range extensions such as those launched by Lean Cuisine and DiGiorno. The frozen pizza category, unfortunately, remains soft overall, but our strong brands are enabling us to hold market share despite the significant pricing we have taken. Talking about pricing. We have also taken significant pricing action in ice cream. The category has also seen increased pressure from private label, as well as the regional players in premium take-home. An important step change in premium for us is the relaunch of Slow Churned, Dreyer's brand's Slow Churned, bringing all the taste but with 1/2 the fat and 1/3 less calories. For those of you in the U.S., if you have not tried our Slow Churned, I urge you to run to the store, don't walk to the store, run, after listening to this webcast. I promise you -- I love ice cream, you can tell. It's fantastic. It tastes great. It tastes even better than full fat. Okay, so we have also seen growth in ice cream snacks and the superpremium. Confectionery has accelerated year-to-date, with innovations such as Skinny Cow still growing very well. Nescafé showed good organic growth, thanks to Nescafé Clasico and innovations like Nescafé Memento that targets younger coffee consumers. Coffee-mate launched new varieties of Natural Bliss, enabling our consumers to individualize their coffee moment. That achieved high single growth -- high single-digit growth, I should say. Last but not least for North America, PetCare category is growing, and we have actually increased our share. Our innovations delivered high single-digit growth, with examples like Beneful Baked Delights and Friskies Plus. We have also entered the ultra-premium segment through specialty channel with Canyon Creek Ranch which is a whole natural food for adult dogs, with added vitamins and minerals. Our Latin America story is very positive with double-digit organic growth. The key drivers by category are confectionary, coffee and PetCare where Dog Chow and Pro Plan stood out. And by geography, Brazil, Mexico, Andean and Plateau regions are the highlights. Overall, market shares across all categories in the Zone were mixed, with highlights being beverages in the U.S. and confectionary and PetCare across the entire Zone. The Zone's trading operating margin increased 10 basis points. Moving on to Zone Europe. The growth is in line with our Q1 performance, so again it's important to highlight that we did not see a deceleration, which is great. This is by the tough comparison to 2011. Although the trading environment has deteriorated during the year, as you all know, as I mentioned earlier, particularly in the south, we continue to see growth both with PPPs, our popularly positioned products, and with premium products, with PPP growing at over twice the Zone average. In the west, we achieved mid-single-digit growth in the U.K., driven by coffee and culinary, and in France, with most categories contributing. In addition, the Zone's organic growth in Iberia, Italy and Greece actually remained positive. In the east, Russia improved in the second quarter, with strong contributions from coffee and chocolate, while the Ukraine, Romania and Adriatic were the geographic highlights. By category, chilled culinary, Nescafé and frozen pizza were all strong. Kit Kat accelerated in the second quarter. Now ice cream, unfortunately, had a weak half due to poor weather, and Purina continue to accelerate, with strong performances in Russia and many Western European countries. Innovations, including the continued rollout of Nescafé Dolce Gusto, Nescafé Crema Sensazione, are doing well, as is the rollout of Felix especially in Eastern Europe. Zone Europe's underlying operating performance was good. The 100 basis points reported decline reflects the 2011 impact of restructuring and retirement plan changes. Next is Zone AOA. The Zone delivered good growth. This performance was driven by emerging markets, most notably Greater China, India, Africa, the Middle East and a number of Southeast Asian markets. Japan also showed solid growth. China and India continued to perform well and are in line with our expectations. Happy to report that our 2 partnerships in China, which is Yinlu and Hsu Fu Chi, are very much on track. New commercial structures and distribution models are having a positive impact particularly in Africa where our continued focus on route to market has helped the good performances across all categories. In the Middle East, dairy, coffee and chocolate were the highlights. And as mentioned at Q1, the trading environment in Oceania remains tough. Japan, however, strong -- showed strong growth driven by innovations, such as the Nescafé Barista and Nescafé Dolce Gusto systems, and a strong performance, once again, from Kit Kat. I love Kit Kat, too, aside from ice cream. Although the Zone, we have done well -- throughout the Zone, we've done very well across all price points. PPPs in chocolate with Shark in China and Munch in India, ambient culinary with Maggi, and mainstream products particularly in dairy and coffee have had double-digit growth. And in premium, the rollout of Nescafé Dolce Gusto in Zone AOA continues to be a success. The Zone's like-for-like trading operating margin actually improved in the first half of the year. We discussed this at the full year results presentation. The reported figure of 18.9% reflects the dilution that we had expected from the partnerships in China. I will, however, mention that these partnerships are accretive both from a cash flow and earnings per share standpoint. Okay, now we're moving on to our globally managed businesses. Here, we have Nestlé Nutrition, with organic growth of 5.7% and a 2% real internal growth. Let's start with infant nutrition. Double-digit growth across the emerging markets more than offset the slower performance in the developed markets. The key growth drivers were South Asia, Brazil, China and the Middle East. Infant formula delivered double-digit growth, mainly driven by an acceleration of growth in the emerging markets. The U.S. sales have been under pressure as a result of general category softness, and this is largely due to, no surprise, declining birth rates and really tough comparables from 2011 where we benefited from a competitor's product recall. Baby food improved its organic growth performance. Cereals especially in India and Pakistan are the highlights. Jenny Craig, unfortunately, continues to be under pressure in the U.S. We continue to take corrective actions and it's taking longer time for us to see some results to materialize. In terms of Performance Nutrition, our strategy of going back to basics is showing improved results. We're happy with how things are going for our Performance Nutrition of -- category. Trading operating profit for Nestlé Nutrition is down 50 basis points and this is due to the impact of Weight Management. Next, we have Nestlé Waters. We delivered mid-single-digit growth driven by North America and the emerging markets which, again, reported double-digit growth. There was a slow start to the peak season in Europe in comparison to the same period of 2011. If we talk brands, highlights include: Nestlé Pure Life, the international sparkling waters San Pellegrino and Perrier -- I was told this morning that we could not find any Perrier in the neighborhood -- and local spring water such as Poland Spring in the U.S., Al Manhal in Saudi Arabia, Minere in Thailand and Baraka in Egypt. Overall, market shares have improved, especially in North America. Trading operating profit increased by 140 basis points, thanks to sustained growth, a positive price impact and significant cost reductions in our water business. Moving to the other segment. Nestlé Professional showed good growth for the first half of 2012 both in beverages and food, and this is driven mainly by strong pricing actions. Emerging markets, which represent around 1/3 of Nestle's -- Nestlé Professional's or -- sales delivered double-digit organic growth, with Brazil and China among the highlights. Nespresso continues to grow at a high level, very much in line with our expectations. Nestle Health Sciences delivered double-digit growth in North America as well as the emerging markets. Happy to report, Prometheus and Vitaflo, our recent -- most recent acquisitions in Nestlé Health Sciences are both having also double-digit growth. Cereal Partners Worldwide, CPW, achieved strong growth in the emerging markets. This is partially offset by softness in developed markets. The realignment of BPW, which is Beverage Partners Worldwide, is on track. Pharmaceutical joint ventures Galderma and innéov also reported positive growth. Now let's move on to product segments. As you can see here, all categories grew above 6%, with the exception of prepared dishes which was impacted by frozen food in North America. Let me now go through each of these products segments in more detail. First one up is Powdered & Liquid Beverages. This product segment achieved 10.8% organic growth. This, I want to highlight, is on top of the 12.5% growth last year. All product segments, all markets contributed positively, with premium out-of-home and PPP offerings delivering outstanding growth. That's all product segments and all markets, which is very, very exciting. Soluble coffees had a strong performance and held market shares despite price increases. There was double-digit growth from Nescafé Dolce Gusto, Nescafé 3-in-1 and ready-to-drink. By geography, growth was double digit in the emerging markets. In Latin America, our regional brand, Nescafé Dolca performed strongly, with a good contribution from Mexico and Argentina. Western Europe grew high single digit, with the U.K., Spain and France among the highlights. There was also improved growth in Russia. The powdered beverage business achieved high single-digit organic growth, that's weighted to price, and was double digit in AOA. Ready-to-drink also delivered high single-digit organic growth driven more by RIG, with a strong performance in AOA in particular. The trading operating margin reflected the input cost pressures for this product segment. Moving on to milk products and ice cream. This product segment posted 6.7% organic growth, with 0.8% RIG. This builds on the double-digit growth achieved in the same period last year. Our milk business enjoyed strong growth driven by Africa, Middle East, China and Pakistan. The continued success of this category is closely linked to our focus not just on innovation but also on nutrition. On this chart, you will see the picture of a product called Nestlé Acticol, which was launched in Chile and Mexico across various formats from liquid to shelf-stable. This is an example of our many value-added initiatives in this product category. Our ice cream business had positive organic growth, with a strong contribution from emerging markets. In North America, pricing impacted real internal growth. In Northern Europe, this business, much like our water business, suffered from a weaker start to the season compared with 2011. This segment did benefit from the very successful international launch of peelable ice cream. It's called Pirulo Jungly in Europe. This product group's trading profit margin increased mainly due to ice cream. Moving on to prepared dishes and cooking aids. This product segment was characterized by strong growth in ambient culinary, partly offset by the frozen category in North America. I have already commented on the issues related to our frozen category in the U.S. In contrast, a very positive highlight is our frozen pizza across Europe. Ambient was driven by double-digit growth in emerging markets especially in Africa, China and India. As an example, we fortified our Maggi cubes in Central/West Africa with iron. This helps address one of the region's most widespread micronutrient deficiencies. Okay, now I have a question for this group here. Ian talked about Q&A. The way I do Q&A is I do the Q and you guys do the A. How many -- the question is, how many cubes do we sell in Central/West Africa everyday? I'll give you a clue, it's in millions. Yes, sir? [Voting]
Unknown Analyst: No clue.
Wan Ling Martello: No clue.
Unknown Analyst: So, like, 7 million?
Wan Ling Martello: 7 million, okay. Senior, welcome. I'm sorry?
Unknown Analyst: 50.
Wan Ling Martello: 50. Jean-Philippe?
Jean-Philippe Bertschy - Bank Vontobel AG, Research Division: 75.
Wan Ling Martello: 75. The number is going up. Jon?
Jon Cox - Kepler Capital Markets, Research Division: 75.
Wan Ling Martello: 75. Going, going, gone. We sell more than 100 million cubes everyday across the region. So next time we see each other and I ask you the same question, I'd be deeply disappointed if somebody gives me the wrong number. But so it's just amazing, more than 100 million cubes everyday. This is not every year. So I was supposed to take a water break when I was asking you guys the question. I got too excited. In Europe, continuing on this product segment category, we have innovations building on the Juicy Roasting concept that really expand the boundaries of modern cooking. Globally, chilled culinary is stable, with some bright spots such as Herta delivering strong growth in France where we have also built on our Nutrition, Health and Wellness promise through sodium reduction and improved consumer communications. The 10 basis points decline in trading operating profit margin was mainly due to the frozen category. Next, we have confectionery: organic growth of 6.4% and a RIG of 4%. We have been able to deliver growth on growth also in this category. The emerging markets delivered double-digit growth, with brand highlights being Kit Kat, Shark and Munch. We have seen an improved performance in Russia with good Easter results and revised portfolio, including the newly launched Rossiya tablets. This, together with our new commercial structures there, gives us confidence about the outlook for that market. In the U.S., Skinny Cow continues to do well and our market shares remain stable. The strength of the Nestlé portfolio in confectionery lies in 2 things: first, our strong presence with local brands; and the geographic balance across the portfolio being the second point. In fact, over 50% of our confectionery sales are now generated in emerging markets. This means we still have a lot of runway ahead of us. We continue to drive our business for the long term, so while we are investing behind the growth in our emerging market businesses, we are also protecting the fundamentals and investing behind established brands like Kit Kat. With the very successful launch of Kit Kat in Brazil and the continued strong performance in countries such as Middle East, Japan and Iberia, this 75-year-old brand continues to go from strength to strength. The confectionery trading operating profit margin was impacted by a combined effect of input costs, mix and last year's credit on restructuring and pension costs. Last but not the least, our PetCare business. The PetCare business delivered organic growth of 8.2%, driven by strong growth in both emerging and developed markets. The performance in emerging markets was due to double-digit growth in Latin America and Central and Eastern Europe, specifically Mexico, Russia, Brazil and Argentina. Nestlé grew market share in all regions and across all major pet food segments, thanks to strong brands, innovative products and expansion in new channels. The trading operating profit margin rose by 70 basis points versus last year and this is because of improved mix, pricing and lower fixed costs, partially offset by higher commodity costs. Now moving on to the group's trading operating profit. On this slide, you can see our usual margin bridge depicting the evolution of the trading operating profit margin, which is 15% for the half year. Let me pause here and stress, the 15% is the reported result. The input cost pressure during the first half of this year led to a cost of goods increase. This was, however, mitigated by timely pricing and savings from NCE. You all have heard Nestlé Continuous Excellence which we continue to roll out across the organization. The impact after these savings was 50 basis points. And for the full year, we very much maintain our outlook on our input costs of a mid -- of a low- to mid-single-digit percentage increase, so no change to that. Looking at distribution costs. We were able to improve by 30 basis points and this is due to the cumulative effects of mix and efficiencies. For example, in our water business, we've been able to save -- get some savings out of doing some work on network optimization. Our reported marketing costs were down 40 basis points, and I will come back to this on the following slide. Admin costs were up 20 basis points due to the comparison with last year. The first half of 2011 saw a decrease of 150 basis points as we benefited from restructuring of post-retirement plans. Finally, we continue to invest in R&D driving our innovation, and this remains unchanged at 1.6% of sales. Like I said earlier, I was going to come back to marketing. Here we are. Our consumer-facing marketing spend was, again, up in constant currency for the half. We have continued to drive better returns from our marketing communication investment, improving our return on our brand-building efforts, more bang for the buck, so to speak. Specific global and regional initiatives have given us very positive results on costs, consistency and quality in media buying and planning. In addition, our consumer-facing communication continues to improve. Our creative content has been recognized, with Nestlé now ranked second based on the recent 2012 Effie Awards. The Effie Awards were founded in 1968 by the American Marketing Association as a means to recognize the most effective advertising efforts each year. And as you can see on this slide, on this chart, in the first half of this year, our top-quartile TV ad performance improved by 12 percentage points over 2011, continuing the very positive trend. We've also continued to enhance our investment in digital communications, including strategic partnerships particularly in the digital space. Two examples from the many are Kit Kat and Perrier. Kit Kat, in the U.K., encouraged 600,000 consumers to choose the next chunky variety through various social media channels. Importantly, we were able to accurately measure the positive impact of the campaign on the Kit Kat brand sales. Perrier's Le Drop generated more than 3 million online views in less than a month. This is one example of how we are creating significant earned media success for our brands. Let me now share one of these with you. [Presentation]
Wan Ling Martello: It's a good one. The performance of Perrier, as I mentioned earlier, was one of the highlights for water in the first half, building on its double-digit growth in the first half of last year, so very impressive. Moving back now to our income statement. You can see here that there are no major changes here year-on-year, with the exception of the net financing line. The low interest rate environment over the first half of 2012, coupled with our attention to cash management, has delivered the results you see here. Now staying with the theme of cash management, I will spend the next few slides talking about the key elements of our cash flow performance and some important changes we've made to build on our transparency in this area. Cash flow and our efficiency in managing cash flow remains a key priority. And by the way, this happens to be something I strongly believe in. As I said to many of you when we met at the beginning of the year, cash is king. We will continue to focus on our operating margin and working capital management, along with other critical elements that contribute to the cash flow such as treasury and tax. At the same time, we want to build on our objective of being the industry reference for financial performance through increased transparency, highlighting the fundamentals of our cash flow evolution and, at the same time, delivering a more comparable disclosure. Before I go into the details of our new cash flow presentation, let's take a look at where we stood at half year. As you can see here, the group's operating cash flow was CHF 5.1 billion, up from the CHF 2.1 billion in 2011. The chart shows that all the key elements contributed to the improvement. In particular, we had a higher operating profit of CHF 0.5 billion. We've made a real improvement in working capital, but we also had an easier comparison to the same period last year. And that has contributed to the CHF 1.9 billion less in working capital that you see here. Given this easier comp, I would not expect the same level being maintained for the full year. And of course, it's sets us up for a tough comparison next year. Having said that, looking at the longer-term picture on working capital, I'd like to bring back this chart that you have seen before. Working capital remains an area of focus. I'd like to give you a few concrete examples of how we look at this internally. It goes without saying that our structures, our policies, our principles have a direct bearing on working capital philosophy. Across Nestlé, the concept of efficient working capital management is driven from the top-down. We have well-established cross-functional ownership structures with clear improvement targets and incentives. These elements, among many others, have been driving improvement across several dimensions. At the same time, we will not compromise on quality of service. Our customer service levels are one of the key performance indicators for our management team, and we aim to be the best in class. My message to you is that we will continue to drive performance, going forward. Although there may be a certain degree of volatility, the longer -- the long-term trend that we have seen here is set to continue. I'd like now to return to my point on transparency. Building on the level of detail that we've previously provided, we have enhanced our disclosure of the operating cash flow. The full details of this are in the appendix on -- in your book, or in -- if you download from our -- on our website, it's in the appendix, with some illustrative examples based on full year figures. In essence, we have broken out the cash flow before changes in assets and liabilities, added a line on the evolution in working capital, separated the disclosure of taxes and treasury activities. The objective behind all of these changes is to provide you with a better view on where the cash is being generated. And at the same time, our definition of operating as well as free cash flow is now better aligned with our peer group companies. Now while we are discussing changes, I would also like to draw your attention to some of the slides we have included in the appendix. In the spirit of being proactive, we have outlined for you the changes in pension accounting under IAS 19 and how it will impact our P&L from 2013 onwards. In the interest of time, I won't go into the details here, I will just emphasize that this is only an accounting change. It will have a 20 to 30 basis points impact on our margin, but needless to say, it has no bearing on our underlying performance or our cash generation capacity. We will, of course, restate 2012 when we report 2013. This brings me to my concluding remarks. As I said in my opening comments, I believe this first half performance in a very tough environment demonstrates the power of alignment behind the Nestlé Roadmap. It's been said that great global companies do 3 things really well: They know the local consumers very well, they leverage globally and they transfer knowledge very effectively. Nestlé, as you all know, is a very decentralized organization. We know how to meet our consumer needs. We know how to partner with our local trade. We are part of the fabric of the local community. The competitive advantage that Nestlé has that is not obvious to outsiders is our ability to align 330,000 people across 150 countries. For me, coming from the outside, this absolutely blows me away. There's also no doubt that the roadmap is as relevant today to drive performance as it ever was. We have delivered what we needed: top and bottom line in the first half to confirm our guidance of achieving the Nestlé Model once again in 2012. And we have done so while continuing to invest and to make the right choices, investments that will enhance our future performance, that balance of short- and long-term focus that I mentioned earlier. Nestlé has delivered in the first half, will deliver for the full year and continues to enhance our longer-term capabilities to win in our markets globally. This concludes my presentation. Let's now open it up for discussion.
Ian Metcalfe: Thank you, Wan Ling. We will now start with questions from the audience here in the Zürich Stock Exchange before opening up to those dialing in. [Operator Instructions] As this is webcast, can I remind everyone to identify themselves? And for those with us here in Zürich, please wait for the microphone before speaking. Do we have any questions yet? Yes, please.
Alex Molloy - Crédit Suisse AG, Research Division: It's Alex Molloy from Crédit Suisse. Two questions, if I may. Firstly, on cash flow. Clearly, in 2011, this was an area of considerable investor focus and generally not particularly favorable. With the better cash flow performance in H1, can you say to what extent was that due to increased focus on management's part and the determination to improve the cash flow performance? That's my first question. My second question is -- margins in Europe were down 100 basis points. As you said, pensions and restructuring played a role in that. Could you say whether underlying margins, excluding these, were up or down?
Wan Ling Martello: This one? Do I just have to press anything, push?
Ian Metcalfe: Just talk.
Wan Ling Martello: Or I guess, I could just talk. First of all, before I tell -- before -- I should have talked about the new rules of engagement. We expect questions to be multiple parts. If not, we do not answer those questions. So you actually, without me telling you the new rules of engagement, you had a 2-part question. In terms of cash flow, definitely, categorically, there is increased management focus. And so if you look at where we're going to end the year, it will not be -- like I said earlier, do not extrapolate sort of like the improvement in working capital. We will improve vis-a-vis the position last year, but it will -- don't do an extrapolation. But all the elements, whether it's improving operating margin, it's better cash management, better management of working capital, to your point, it is management's focus and determination to make an improvement in cash flow. In terms of our -- Zone Europe's trading operating margin, you're right. Excluding that, we actually improved.
Ian Metcalfe: Yes, please.
Jon Cox - Kepler Capital Markets, Research Division: Jon Cox with Kepler. Sorry, Wan Ling, am I allowed to ask multiple questions, or do I have to ask one at a time? I misunderstood what you were saying there.
Wan Ling Martello: Oh, you can ask a question, but it has to have multiple parts. Otherwise, we'll just ignore it.
Jon Cox - Kepler Capital Markets, Research Division: Okay. All right, just so -- just back on to that cash flow trade, networking capital. Do you have any sort of goal in your mind where you think you can get to as proportion of sales...
Wan Ling Martello: We obviously, like I said before, do have internal goals. And we actually -- as part of management's incentive, short-term bonus, everybody has a goal. So we have specific targets by business that we'll roll out to the group. Obviously, it's a target that I'm not going to share with you all, but we do have goals internally.
Jon Cox - Kepler Capital Markets, Research Division: Just on the U.S. issue. You say that, basically, organic growth accelerated in Q2. Can you give us an indication of what the acceleration was? Because if you look at the Americas, it seems to be stripped out. Q1, Q2 organic seem to slow down somewhat, overall, for the Americas, and I'm just trying to work, well, if the U.S. actually went up, what was maybe deteriorating.
Wan Ling Martello: No. In the U.S., for the U.S. market, we actually saw an acceleration from Q1 to Q2. I'm not going to specifically say which category, which product, but overall, our U.S. market did go up both in terms of RIG and organic growth.
Jon Cox - Kepler Capital Markets, Research Division: And then just on -- your commodities guidance remains sort of unchanged. If anything, if you look at it, some of those soft commodities actually -- it seems to be coming down even quicker than potentially expected. Is it now you're seeing the growing complex and saying that this will offset the soft commodities? Is that...
Wan Ling Martello: Yes, yes, exactly, because we look at it sort of like -- our guidance is the basket of input costs. And so you see, it's a mix in the U.S. given the drought in the Midwest, so we're going to see increase in those commodities coming from the corn, soybean. But on the other ones, they're going down. So in overall, as a mix, our guidance is not changing which is still low to mid single-digit.
Jon Cox - Kepler Capital Markets, Research Division: And then just a last one, on sort of coffee generally. But Nespresso, you're talking about the growth remained strong, but you're starting to mention the word -- it's getting competitive out there. Can you just give us an idea of where you were in terms of the Nespresso growth? Is it still running at 20%-plus, or was dropped into the mid-teen level? And then just on Dolce Gusto, maybe you can just give an idea of the dynamics there because that obviously is growing super fast as well and maybe we should be focusing more on Dolce Gusto growth dynamics rather than what's happening with Nespresso.
Wan Ling Martello: No, you should be focusing on both Nespresso and Dolce Gusto. Nespresso, like I said, the growth is very much in line with our expectation. We have -- in -- before, we've been giving a lot more details on Nespresso, and I don't -- I'm not sure if, from a competitive standpoint, that serve us well. So I will say that we're very happy with the growth in Nespresso, it's very much in line with our expectation. And I think it was a few -- I can't remember which conference call where we said that our expectation is to grow the Nespresso business by 0.5 billion. That was [indiscernible]...
Ian Metcalfe: 2010 Nestlé Investor Seminar.
Wan Ling Martello: Gosh, just like a walking encyclopedia of when we said what. But so that's the answer to Nespresso: very happy with how it's doing so far. And hey, let's -- it's very competitive. It has been. In terms of Dolce Gusto, very, very strong performance. It's, again, we're not giving specific. It's obviously double digit, very strong, and seeing good progress as we roll out in Zones like AOA.
Ian Metcalfe: Just on Nespresso. It's important to add that we are gaining market share as well.
Wan Ling Martello: Well, that's true. It's a good point.
Ian Metcalfe: Okay. So if we have any more questions from the room...
Wan Ling Martello: Yes. Jean-Philippe is not going to go without questions, I know.
Jean-Philippe Bertschy - Bank Vontobel AG, Research Division: It's Jean-Philippe Bertschy, Vontobel. You were like mentioning China as well several times. You had 2 acquisitions last year, Hsu Fu Chi and Yinlu. I guess you will give some additional insights in September, but can you share maybe with us the growth for these 2 companies. And how do you see the synergies, going forward?
Wan Ling Martello: Yes, are those 2 questions, 1, 2 parts of 1 question? Okay, you qualify then. I -- we do not give specific growth numbers for Hsu Fu Chi and Yinlu, but I will tell you that we are very happy with how it's going. It's very much in line with expectations. And in terms of synergies, it's more that the acquisition -- when we talk about acquisition, it's interesting, it's not sometimes necessarily on just cost synergies. If you think about the Hsu Fu Chi acquisition, overnight, it gave us access to thousands of sales force that now penetrates into the third-, fourth-tier cities in China. In Yinlu, it gave us entry into the breakfast category in China. So those are great from a synergy standpoint, the sales force resource. And so -- but we're just really happy it's very much on track. And so those 2 partnerships are going really well.
Jean-Philippe Bertschy - Bank Vontobel AG, Research Division: And maybe the second one, on nutrition. I think infant formula was growing double digits globally, and then the rest was negative as well globally.
Wan Ling Martello: Infant formula, it's growing double digit in emerging markets. That's more than offset the ones in developed markets. And I talked about how -- the reasons being it's declining birthrates and also we're comping against last year in the U.S. where there was a product recall by one competitor.
Unknown Analyst: Patrik Fry [ph], private bank [indiscernible]. What is the percentage of sales in the emerging markets, and what was the growth there?
Wan Ling Martello: We have -- we showed the growth percentage in terms of total globally, emerging. Do you have that number?
Ian Metcalfe: Yes. It's over 40%.
Wan Ling Martello: Over 40%.
Unknown Analyst: Over 40%.
Wan Ling Martello: Yes.
Ian Metcalfe: Yes, and the growth there is 12.9%.
Wan Ling Martello: Almost 13%.
Unknown Analyst: Daniel Grunise [ph], Vontobel. I would have a question on the western world -- or the developed world. I think it's beautiful to see Nestlé, what is going on here at -- emerging market is growing very robust. But we have some weakness in the western part -- or in the developed world. What can be your strategy for Nestlé to kind of counter fight what goes on? Is it PPP that you try and launch more aggressively or put more aggressively a focus on? Or is it pricing? That's what you do, I think, be it in the pizza business to try and offset maybe a soft market. Could you elaborate a bit on that?
Wan Ling Martello: Yes. First of all, thank you for the question. It's interesting, when you're -- when you see results like the ones that we just released and we just announced, by no means this is no walk in the park. I mean, this is not -- these are hard-fought numbers in the developed markets, even in the emerging markets, thanks to the very strong team at Nestlé. In Europe, it's both PPP and premium that's doing well. And so to be able to get the kind of numbers in develop markets where it's very challenged from a macro perspective, innovation is going to be -- continue to play -- to be key. And so whether it's the peelable ice cream or it's Nescafé Dolce Gusto, those will continue to serve Nestlé well. We don't -- people always ask what do we see in terms of the balance of the year for U.S., for Europe. I mean, it's hard to tell, but what's very comforting for us is the fact that we do not see a deceleration going from Q1 to Q2. And we are cautiously optimistic, given our product categories and what we've seen in the first half that we will -- hence our confidence of reconfirming that we will once again deliver the Nestlé Model in -- for the year.
Ian Metcalfe: And one more question in here?
Michael Studer - Bank am Bellevue, Research Division: Michael Studer, Bank Bellevue. One question regarding the Americas again, maybe, on Q2. You said U.S. is growing in RIG and organic growth, so is the conclusion right, that you have seen quite some slowdown in Latin America? And maybe you can point out in which countries and maybe also how you see the remainder of the year. And my second question, maybe an update on Pfizer Nutrition business, what we should expect there, when to close and consolidation?
Wan Ling Martello: Let me start with the Pfizer Nutrition. We will -- when we announced the transaction back -- gosh, that was April, I think. That was week 2 for me on the job. It's -- we had said that we anticipate closing probably beginning of next year or, at the earliest, end of this year. We are going through, obviously, a process of working with Pfizer in terms of how we transition services, but more importantly, we are working with the regulatory authorities in every jurisdiction to get approval. And I'm happy to report that, so far, we have already seen a handful -- or more than handful of countries approving, giving us "okay." But that's going to -- again, no change in time line. It would be -- Michael, it's going to be beginning of next year, likely, so no change. In terms of Americas, like I said earlier, we saw actually a -- from -- both from a RIG and OG perspective, acceleration for the U.S -- or North America in general and for the U.S. specifically. And so that was, again, very, very, very nice to see. So we are, again, cautiously optimistic. That does not mean that Latin America is slowing down. We -- I know, in some of the calls with our peer group companies, some people have highlighted Brazil slowing down, or Russia. We're not seeing that. Brazil is keeping -- for us anyway, we are maintaining our momentum in Brazil. Russia, actually, is recovering very nicely for us. So that's -- it's good to see that. So no slowdown.
Ian Metcalfe: If I may just add, the only thing that you might see down there is the Easter effect especially in confectionery in Brazil which, of course, is one of our biggest categories.
Michael Studer - Bank am Bellevue, Research Division: Might it be possible to give us the LatAm growth -- or give us an indication if the LatAm growth is higher or slower -- lower than the BRICs growth.
Ian Metcalfe: Nice try, Michael. That's maintaining its momentum.
Wan Ling Martello: But we also always give credit for people who try. The reason why this table has -- it's not open is because Ian has -- warn me on things that I'm not supposed to share, so he kicks me under the table not to give the details that we haven't given before.
Ian Metcalfe: You've also to bear in mind that we don't manage the business by quarter-to-quarter basis. So over the long term, I think that has a much more -- has a broader perspective if you look at the full year comparisons. Any more questions from the room?
Wan Ling Martello: Yes, there are 2 more.
Patrick Hasenboehler - Bank Sarasin & Cie AG, Research Division: Patrick Hasenboehler, the Bank Sarasin. Do you expect a further improvement of operating profit margin for Nestlé Waters business in the short and mid term?
Wan Ling Martello: We've been very pleased with our Nestlé water business. And as you can -- as you know, the water business, it's -- in terms of margin, it can be a little volatile. It's -- if you talk about the 2 businesses that -- well, first, it's a commodity cost, and then there's -- from a -- depending on what competition does. But needless to say, we're really pleased with how it's doing this year. And obviously, our expectation is that we hope that it will continue. But kudos to the Nestlé Waters team.
Ian Metcalfe: Next question?
Wan Ling Martello: That's an interesting question, too, because sometimes we get questions about, "Do you expect the -- all categories to sort of like deliver on the Nestlé Model?" We always say that all categories and all regions should contribute to the Nestlé Model.
Unknown Analyst: [indiscernible]. Can you give us a little bit more color on your PPP growth breakdown between the emerging markets and the developed market and the target that you have for this these products in the future?
Wan Ling Martello: We do not give targets in terms of the PPP products. But you know what's really interesting? I know, when I first joined Nestlé and I heard about PPP, I always -- the first thing that you go to is PPP is for emerging market. Well, that's -- I was wrong. It's actually for the emerging consumer. And so whether the consumer is in the emerging market or in the developed market, it resonates to that consumer who wants to buy our PPP products. The -- in terms of percentage of -- it's overall about 12% today, and it's very accretive in terms of growth and profit and, clearly, as I said in my presentation earlier, that it has helped both the emerging markets as well as the developed markets. So it's really fascinating to see that, how well PPP is also doing in the developed countries.
Alexandra Bossert - UBS Investment Bank, Research Division: Alexandra Bossert from UBS. Just a follow-up on the Pfizer Nutrition acquisition. What are your M&A intentions going forward? And earlier, you guided for net debt of about CHF 15 billion to CHF 18 billion by end financial year '12, '13. Are you still sticking to that guidance?
Wan Ling Martello: I'm sorry, it's just that -- the second part was the net debt. And what was the first part?
Alexandra Bossert - UBS Investment Bank, Research Division: What are your M&A intentions?
Wan Ling Martello: Oh, M&A, yes. We have been very public post the announcement of Pfizer Nutrition that we will not be doing any significant deals. And if anything, we'll probably do -- not probably, we will look at sort of like bolt-on acquisitions here and there but no significant transactions post Pfizer Nutrition acquisition. So that should -- the other thing, in terms of net debt, we do not -- obviously, our net debt position based -- because of the Pfizer Nutrition, it will be -- it will go up. But we do not -- we're not giving any specific guidance at this juncture.
Ian Metcalfe: Okay, if we have any more questions in the room?
Wan Ling Martello: I think Jean-Philippe has another one. Jon? And Jon's going to have, like, 5 part.
Jon Cox - Kepler Capital Markets, Research Division: Just on the -- what you said about net debt. And I know you sort of moved to a bigger payout ratio and away from doing buybacks. Is that still the way you feel when now you've been in the job for 6 months or so? Is that the way you would continue, or do you see that, in the future potentially, you'd move back to doing some buybacks? Or would you rather continue to increase the payout ratio, which is very good already, but is that how you would probably prefer to return cash to shareholders if you have sufficient?
Wan Ling Martello: Yes, thank you, Jon. We do not see the 2 being mutually exclusive. We have always said that we strive for sustainable dividend policy. And if you go back -- how long have we have started tracking dividend? But it's been over 50 years. And if you look back in the last 50, I think, 56, years, we have never decreased our dividend in absolute terms, so I would argue that that's pretty sustainable. And so we're not walking away from a sustainable dividend policy. We have said since the end of last year that we will not -- there is no new buyback program, and that is more opportunistic. To the extent that we have excess cash, absolutely, we'll look at that. So I don't look at those as mutually exclusive. Dividend policy, we're -- it's going to be sustainable, and that doesn't change. And no buyback now, but we're open to that when the circumstances are right.
Jon Cox - Kepler Capital Markets, Research Division: And just a question on the pension changes. I must admit, I was quite surprised to see that -- what the impact will be for you guys next year. Of course, it's just an accounting change, but you mentioned that your finance cost will go up by 250 million. I guess that -- is -- it will be a cash outflow because you say there's going to be no cash impact. But that net finance cost of 250 million, would that...
Wan Ling Martello: Yes, no cash outflow, no. No, absolutely no cash outflow. It's purely an accounting change. And like I said earlier, it's -- we will restate 2012 when we go into 2013. We just wanted to be proactive this early on to give you all some sense of what this accounting change is going to -- how it's going to impact our P&L, so -- but no, absolutely no cash flow -- no cash outflow, simply an accounting change. And I'm reminded, my husband always reminds me that the road to hell is paved with good intentions. So as we're preparing, being more proactive and being more transparent on the cash flow, at the back of my mind, I thought, is this going to come back to haunt us? What if?
Jon Cox - Kepler Capital Markets, Research Division: Just a follow-up on the sort of PPP. You mentioned, I think, its about 12% of group sales, did you say?
Wan Ling Martello: 12%.
Jon Cox - Kepler Capital Markets, Research Division: And then just in terms of the premium part of your portfolio, what would you say the share is of that in there, roughly?
Wan Ling Martello: Oh, roughly-ish. We don't really have here because you can -- yes, that's difficult. So we don't have an exact figure. No, we don't. But that's an interesting -- we should take that question back, Ian, and...
Ian Metcalfe: I mean, you should take into account Nespresso, Nescafé Dolce Gusto, the rate of growth that they've got, but then you've also got other categories where the classification of premium is below the best, especially if we're looking ice cream and other areas. So it would be a difficult one to give you an exact percentage out.
Wan Ling Martello: Yes. I mean, you could think that Nespresso; Nescafé Dolce Gusto; NAN; our sparkling water San Pellegrino, Perrier, you can tell; Häagen-Dazs ice cream, so -- yes.
Jon Cox - Kepler Capital Markets, Research Division: It's interesting what you say about the dichotomy between in Europe where you've got the low end doing very well and you've got the high end doing well. And then obviously, we will think we'll have, because of -- middle part. And what's happening with the middle part? Is that the part of the portfolio that's under some pressure in...
Wan Ling Martello: No. But if you see our coffee, our -- I talked about our powdered beverage -- our beverages business, it's all markets, all product segments contributed. And that's very much our mainstream line, right? But that's -- it's yes, the dichotomy. The -- one of the great strengths, one of the capabilities of an organization that -- like Nestlé is the ability to operate on sort of like both ends of the spectrum to be able to be successful in PPP and to be successful in sort of like the high end with Nespresso and other product categories. That speaks to capabilities. What you all see are, in black and white, the numbers, and obviously the company's capability manifests itself on the numbers. But being on the inside, the other thing that's amazing to me is -- I always say, what is the acid test of somebody good or a collection of people, if they're good, is the ability to manage something new without having to master it first. You look at -- we as a manufacturer are able to go into Nespresso. And 50% of our sales is now through e-com. And a significant chunk of our sales is also through boutiques, over 270 boutiques on a global basis. Having come from retail background, it's not easy to have a retail footprint that is meaningful to be able to provide great customer experience when you walk into our boutiques. Those are capabilities that -- even though Nestlé was never a retailer, was never involved in e-com, to now being able to do that, that speaks to a great strength of Nestlé. It's the ability to manage something new without having to master it first. So I'm -- as a new person, I'm just really, really impressed.
Ian Metcalfe: Okay. So with that, we will now go with the questions from the phone. Please don't forget to introduce yourselves before asking your question. Could I have the first question, please?
Wan Ling Martello: And remember, it has to be multiple part -- going to kick me out [ph].
Operator: Our first question comes from Eileen Khoo.
Eileen Khoo - Morgan Stanley, Research Division: Wan Ling and Ian, this is Eileen Khoo Xia [ph] from Morgan Stanley. Two questions for me. The first one is on Russia. It looks like you've actually had an inflection point performance there. Is that because of the macro environment, or is that because of the internal restructuring that you've been doing? For example, I think it's quite interesting that, in confectionery, you did well compared to some cautious comments from one of your competitors there. And then the second question is on PetCare. I noticed that your growth has been steadily improving and accelerating to close to 9% in the second quarter. You mentioned expansion in new channels at positive mix. Could you give us a bit more color on -- does -- is this mean your U.S. market?
Wan Ling Martello: Thank you for the question. On Russia, I will give credit to the Russia team as well as our Zone Europe management. We had -- I think we had talked about Russia being -- the market was a bit of a challenge for us in the past. And so internally, they've been doing some restructuring, they've been bringing some innovation to the market, and so the recovery really is thanks to the management team's focus on quality, on innovation. So kudos to them. Just like we did not blame the macroeconomic environment when we weren't doing well in Russia, I will also not take away the credit that we will give to the management team there when things started going their way. So Russia, clearly, is -- really, really nice to see the turnaround in that market. So kudos to that team. PetCare growth -- actually, in Russia, I've -- as long as I continue, the team on Russia, PetCare also strong growth in Russia, along with Nescafé Dolce Gusto. In terms of PetCare, I -- the growth is also helped by the fact that we're going into specialty channel and so in the U.S., So really great to see that we're increasing share, as well as the category is growing. But the thing that's really interesting also for PetCare is we're doing well in emerging markets in Latin America as well in -- as Eastern Europe. And the thing, if you look at the pet category, we're actually under-indexed in both Latin America and AOA, which again is what makes it so exciting for us. A very strong category like PetCare, for us to be under-indexed in those 2 regions or 2 Zones, it's very exciting for us to be able -- and we're seeing traction. Now it used to be -- when -- for the PetCare category, if the U.S. is not doing well, sort of like the whole product segment for us kind of goes with how the U.S. goes, so it goes for the category. But now with us doing well, seeing traction in emerging markets, in Latin America and in Eastern Europe, they are now becoming a meaningful share of our PetCare product segment. And that's really a lot of credit to the team for bringing a lot of innovation into that category.
Operator: And our next question comes from [indiscernible].
Unknown Analyst: Ian and Wan, I'll open with maintenance. I have 2 questions. The first is about the cash flow networking capital. Would you elaborate a little bit more about the development of net working capital? What were the main drivers that increased slower [ph], in order to get more insight on that? The second question is coming back to North America again. Could you let us know where you gained market share in which category and in which categories you lost market share in U.S.?
Wan Ling Martello: Thank you for the question. I'll take the second quarter part first, North America, specifically in the U.S. We don't obviously give market share by product category, by geography. I will say that it's mixed. And I've, I think, mentioned a few categories in -- early on in my presentation. I will say this, however, that when you all look at market share from Nielsen, for instance, and we do -- we tend to look at it on a more granular which is more comparable. I'll give example, for instance, water. We don't compare, for instance, our water to sugar beverages in the U.S., which if you don't dive deeper and get the right level of granularity, it could be very, very misleading. So needless to say, for U.S., it's a mixed bag, and we do track it, obviously, on a monthly basis and --- anyway. In terms of working capital, it's a combined effect of both efficiency as well as our increased focus on driving down how much we tie up in terms of working capital to support the kind of growth that we see. But also like I said earlier, it's an easier comp for us versus last year and -- but one thing that you all should take away from this meeting, this session, is that there is increased focus on cash and working capital in general by all of us at Nestlé. And it's something that Paul Bulcke has -- it's a top-down -- it's top-down driven by -- all the way from the top, from Paul, so...
Ian Metcalfe: If I can just add. I don't want contradict, but there's always the exception of [indiscernible]. As Wan Ling mentioned in her presentation, we have seen some gains in market share in different categories, I mean, PetCare for one. And then we've also seen them across our pizza range and Lean Cuisine due to the innovations that we've launched there and amongst others, including confectionery. So I think you can say that it's a mixed picture, but overall, we're holding our category growth in various key areas.
Unknown Analyst: And just a follow-up question about the program, the excellence program. In the past, you gave cost savings of 1.5 billion per year. Do you still give this guidance for 2012?
Wan Ling Martello: Yes. We -- that's the -- you're referring to Nestlé Continuous Excellence, the -- our program. And that's -- it's going in line with expectation, and we are staying with the 1.5 billion guidance that we have given you at the beginning of the year. It's really interesting, if you think about Nestlé Continuous Excellence, it's not people. Again, as a new person, when I first came in, I thought, well, it's some kind of a productivity program that's kind of a like onetime shot, right? It's -- you do it for 1 year, you do it for 2 years, you do it for 3 years, and it's kind of like all over. But it's not. It's really a change in mindset. And so it's pushing the ownership to the person responsible for doing the specific task, for doing the specific process. And so the way to look at it is, we value whatever we do. We value what we do only if it brings value to the consumer. So it's a continuous process, it's at all levels. And in fact, NCE has not been rolled out entire -- in its -- to the whole organization, so it's still very much in the process of rolling out. And it's at all levels, it's not just at the COGS line, the cost of goods line. You'll see it in admin, you'll see it in distribution. And so it's across the whole enterprise, affecting all the lines on your P&L. So again, Nestlé Continuous Excellence, a great -- it's a mindset change and it's really -- it's again another very phenomenal thing that's going on at Nestlé.
Operator: And our next question comes from Mr. Warren Ackerman.
Warren Ackerman - Societe Generale Cross Asset Research: Wan Ling, it's Warren Ackerman here at SocGen. Hope you can hear me. I've got 2 questions and 1 clarification. The first question is, were you a bit disappointed with confectionery margins, down 200 basis points? And then related, 6 months into the job, just be interested to hear where you think the biggest margin upside is in the Nestlé group, either by category or by geography? And then secondly, Wan Ling, would you better touch on Japan? Obviously, it's an important market for Nestlé, a very attractive margin structure. Just interested in what the growth was, what's driving that. Is it sustainable? And then on the clarification, marketing down 40 bps, the consumer-facing marketing up 1.3%. I'm a bit confused by that. What marketing are you doing that is not consumer-facing?
Wan Ling Martello: Warren, it's nice to hear from you. While you're not here in person, I'm disappointed. But Warren has 4 parts to his question even though he's not here in person, and we'll attempt to answer that. Okay, let's start with marketing, 40 basis points down. When we talk about marketing expenses, Warren, it's is not just consumer -- facing portion of it. It includes, obviously, what I'd call infrastructure such as sales and marketing people, the folks who work with our -- who do a lot of work on digital, so it's the SG&A or it's the -- what I call the infrastructure part of marketing. So yes, it's -- when we talk about marketing, it's not just the consumer-facing. The 40 basis points down, first of all, were -- in constant currency, were up, like I said, 1.3%, and that is on top of last year, that increase about 6%. But more importantly, when we talk about marketing, you have to put it in context, okay? First half of last year, for instance, in Nespresso, we saw the first-ever global launch of Pixie machine, which was highly successful. And so we had a lot of marketing spend behind that launch. And obviously, this first half, we will not -- we did not have a new machine like Pixie, so marketing spend in that -- for that specific -- for Nespresso is down compared to last year. But having said that, we're excited, we have 2 new machines coming out for -- or has come out, actually, for Nespresso that will be introduced to consumers second half. The other thing too is, if you look at first half of last year, Warren, we had big events. You talk about -- Brazil had celebrated its 90th anniversary in Brazil, a lot of marketing spend behind that event. The Philippines, another key market for us, had spent -- also celebrated a 100-year anniversary. And so -- and also if you look at Dolce Gusto, we're sort of like -- are now in critical mass. So we did not give you the growth for Dolce Gusto, but it's double digit, pick a number. Whatever number you want to pick, 20, whatever, 30 -- that's not the number, by the way. But you would not expect the same level of marketing spend increase year-on-year to support that kind of an increase. So marketing spend for the first year, that's the reason behind the 40 basis points decrease year-on-year. So that's part...
Warren Ackerman - Societe Generale Cross Asset Research: On the -- very quickly, just so you wouldn't hit a whole marketing bucket. I mean, would you be able to give us a rough idea of how much is kind of consumer-facing and how much is kind of this other kind of "infrastructure?" Just trying to get a feel for whether you think -- this marketing as a percentage of sales being down, is that kind of going to be a long-term secular trend?
Wan Ling Martello: No. We do not break out -- correct me if I'm wrong, Ian. We do not break that out for -- in terms of details, right?
Ian Metcalfe: No, we don't break that out...
Wan Ling Martello: Yes, we don't break that out. But...
Ian Metcalfe: And Warren knows that.
Wan Ling Martello: And Warren knows that, but Warren is just trying. Nice try. Okay, let me -- can I move on to your 3 other parts? Good, thank you. In terms of confectionery, down in terms of trading operating profit margin. That's because of -- we -- it's because of in -- Europe where we had the credit last year from pension restructuring as well as a decrease in restructuring cost. So it actually -- underlying confectionery margin actually improved if you were to strip that away. So that's -- obviously, that's confectionery in Europe, because those 2 are related. In terms of Japan, we are seeing -- really, really, again, kudos to the Japanese team. We are seeing strong growth, and it's a combination of the introduction of innovations like Dolce Gusto, coffee, and also Kit Kat doing well. So very happy to see that. And your last question, which is wanting me to opine on margin upside for the group by category. I will share this with you: When I first came into the organization, meeting whether it's CFOs from our key market -- I also had the good fortune: In the first month, April, we had the key market conference as well as the market manager conference, so I had the good fortune of meeting a lot of people, also had the good fortune of talking about kind of like my perspective as a new person coming in. And I shared an outside-in perspective. I said, Nestlé, from a top line perspective, if you were to look at the last 10 years compared to our peer group companies, competitors, we're best in class, that's just the last 10 years. If you will look at margin, we have been able to improve margin in the last 10 years, meaningful increase in margin, but we're not -- we're in line with peers. And so very much to the point that, if you look at margin upside, there's still a lot of headroom, there's still a lot of opportunity to improve. And the key thing also when I was talking to our folks about that -- the interesting thing about those 2, as you look the last 10 years against a competitive set, we were probably 1 of 2 companies that were able to deliver both top line and margin improvement. You see some companies who are able to do -- drive top line performance but not so much in margin or, the other way around, margin improvement but not top line growth. And so kudos to the team to be able to do both. But having said that, our margin is very much in line with peers. So a lot of upside because we strive to be, again, the financial reference for the industry. So a lot of -- we would continue to drive margin improvement. Warren, I think I answered your 4 parts to your question.
Operator: Okay. And our next question comes from Ms. Barbara Ambrus.
Barbara Ambrus - Landesbank Baden-Wurttemberg, Research Division: This is Barbara Ambrus of LBBW. I have a question -- actually, a question of a clarification for North America. Would you please maybe tell us if RIG and organic growth -- you said they improved versus Q1 and Q2. Would you tell us if they were positive, please? And a similar question on organic growth and RIG in Zone Europe. In the first quarter, Western Europe seems to have performed better than Eastern Europe and it sounds as if it was vice versa in the second quarter. Could you maybe elaborate a bit on that? And I have a question on Nutrition. The Weight Management business has been under pressure for years now because of weak economy, I understand that, and you said you were going to take measures. What are those, I mean, scaling down the business or enhancing investments? Maybe you can elaborate a bit.
Wan Ling Martello: Thank you, Barbara, for questions. Let me -- there are 3 parts to that, let me take Nutrition. Yes, we recognize we're not happy with the way the business has performed in the last year and, obviously, going to this year. It's interesting. And we're -- from a -- the industry in general is not doing well, but having said that, we're not going to hide behind that. There are things that we can be doing and that -- the team continues to try different things. It's interesting. Paul -- in one of our road show, Paul Bulcke has said, if you think about mother, the woman in the household, it's sort of like in terms of, in the order of priority, it takes care of the baby first then takes care of the pet then takes care of the other children, it's the husband if the husband is lucky and then, finally, herself. So in a tough macroeconomic-type environment, the mother, the woman in the household, who is really our target audience, tends to not take care -- she's not the priority, so -- but having said that, like I said, we are not going to hide behind by the fact that the consumers are challenged and that the industry as a whole is difficult. We are -- the team is looking at different dimensions, everything from celebrities to online marketing to focusing on healthy lifestyle both at work, collaborating with the American Heart Association. So they're trying different things. And I will say, it's not for lack of trying, it's just unfortunate that we're not seeing the kinds of improvements that we'd like to see. So hopefully, in the next time we get together, we will be able to tell you that there's some light at the end of the tunnel. So that's the question on Weight Management. In terms of North America, in the U.S. specifically, I will stress, all businesses had positive -- had accelerated in terms of RIG and OG, all businesses in the U.S. So that's the U.S. And in terms of Zone Europe, I think your question was Western Europe versus Eastern, yes, it's -- we're seeing good growth in both.
Ian Metcalfe: Yes, so across the group, we're seeing good growth across all businesses, in all categories. But you're right in that there are some key drivers, East or West, and of course some positive turnarounds as we've seen some better growth in Russia, which is also encouraging, and that's had an influence of the East to West at large [ph] as well.
Wan Ling Martello: So I think that was our last question, Ian?
Ian Metcalfe: It was the last question. I'm sorry, I have to drag Wan Ling away to some one-on-ones now.
Wan Ling Martello: Yes. Thank you for the questions. And thank you for those of you who made the effort to come here in person. I would just like to close today by repeating that Nestlé has delivered a performance in the first half of 2012. That both is aligned with our strategic priorities and really sets us up for further performance improvement in the future. And on a personal note, I am very excited to be part of that future and I look forward to sharing it with you in the years ahead. Thank you again, so...